Operator: Welcome to Eni's 2023 Third Quarter Results Conference Call hosted by Mr. Francesco Gattei, Chief Financial Officer. For the duration of the call, you will be in listen-only mode. [Operator Instructions] I am now handing you over to your hosts to begin today's conference. Thank you.
Francesco Gattei: Good afternoon and welcome to Eni third quarter and nine month 2023 results conference call. Energy markets remain volatile, but at Eni our focus is on delivering results in all scenarios, while at the same time advancing our longer-term strategy. Q3 has seen as successfully achieving both these things. Before digging deeper into the numbers, let me emphasize the key strategic accomplishment for the quarter. We are evolving and strengthening core business such as E&P and GGP for the challenge of transitioning energy markets and taking opportunity to build new relevant businesses such as Plenitude, Enilive, Biochemical and CCUS. In upstream, in August, we began production of Baleine offshore Ivory Coast less than two years after discovery, further evidence of the efficient integration of world-class exploration with a development strategy focusing on time to market and value maximization. Production from Baleine is a contributor to this quarter and year-on-year growth and its phases ramp-up is an important element in the 3%, 4% growth in our current four-year plan. This approach continues to deliver. We are therefore delighted to significantly exceed our full year target of 700 million BOE of discovered resources. The recently announced Geng North Discovery offshore Indonesia is assessed by third-party provider as the largest in the industry in 2023. Indeed, along with Nargis, announced earlier this year, Eni currently has two of the top five. I will revisit Geng in more detail later. Meanwhile, we are also upgrading our upstream portfolio. In September, we announced the sale of our Nigerian onshore production company, NAOC, following the divestment of mature Congo's assets earlier this year. At the same time, we have been advancing our agreed purchase of Neptune, a portfolio that represents an exceptional feat for us. Closing of Neptune remains on track for Q1 2024. Geng and Neptune will be important contributor to the shifting balance of our upstream portfolio towards gas. Obtaining full value of our equity production is of course critical and so we were pleased in the past few days to announce new LNG supply agreement with Congo, Qatar and Indonesia. We have seen really positive progress as we work to establish a leading CCUS position. Our Bacton UE project was awarded a CO2 appraisal and storage license by the UK government, while we also agreed at the term with the UK for the world's first asset-based regulated CCS business model for our operated high net project. In energy evolution, we are also very active. Our team met with many of you in September to update on our unique biorefining agree up strategy. We were also pleased to confirm an agreement to explore the development operation of a new biorefinery in South Korea, supporting the strong global growth target in that business. Moreover, this month we have closed the purchase of Novamont, advancing Versalis Progress in specializing its portfolio towards the growing market of biochemical and bioplastics. And now to group results. Strong segmental EBIT from each of our main businesses results in over 3 billion group EBIT for the quarter, driven by E&P and 11 billion over the nine months. Including associate, the pro forma EBIT of the company in the quarter was EUR4 billion and EUR14 billion over the nine months. With a tax rate in the mid of 40% consistent with the oil price, business performance and associate contribution. Net income for the quarter was EUR1.8 billion, resulting in a nine-month net income of EUR6.6 billion. We continue to have an excellent cash conversion. Underline three quarters cash flow from operation of EUR3.4 billion and EUR12. 9 billion for the nine months stand out at the top of our historical performance, with an organic free cash flow date of around 6.2 billion, which more than covers our 2023 distribution. We accelerated share buyback this quarter, repurchasing EUR600 million, meaning we have repurchased over 2% of our share in the year-to-end September. And our buyback will continue at accelerated pace in the fourth quarter. Sharing issues are down almost 6% year-on-year. September also saw the first payment of the EUR0.94 quarterly dividend. As anticipated, CapEx of 1. 9 billion this quarter reflects lower spend than the first half. We have also made the second payment in respect of the PBF joint venture in this quarter. And even as we invest organically and into portfolio and buy back shares, the balance sheet remains in exceptionally good shape, with leverage [indiscernible] change from the second quarter at 15% and only up modestly over the last year. Let's now take a look at the business segment performance quarter. Taking natural resource first. Upstream production averaged 1.635 million barrels per day, up 4% year on year, with the start-up of Baleine, as I noted, but also higher production in Algeria, ramp-ups in Mexico and Mozambique, recovery in Kazakhstan after last year, and planned outages. Higher production and higher oil prices helped push EBIT to EUR2.6 billion euro, up 26% quarter-on=quarter, and with our upstream satellites where we generated EUR3.4 billion euro of adjusted EBIT. GGP had a softer quarter as we said it would. The second half of the year is benefiting from less available portfolio flexibility and could result fewer optimization opportunities as spreads narrowed. As promised, I want to focus further on our recently announced Geng North discovery in the Kutei Basin offshore Indonesia. It is worth refreshing on the main characteristic of our exploration strategy because Geng North is such a good example. We are focused on gas. We seek a larger equity share that allows us to have greater control of the project and the option of early valorization through our dual exploration strategy. We explore close to existing infrastructure, which benefits time to market and reduce the development cost and enhancing value. Our distinctive power-in house development process helps us optimize time to market and as a result, not only Eni is consistently the leading global explorer in multiple basins among our peers, but also deliver the best full cycle returns. In terms of Geng specifically, it is a very significant discovery with 5 TCF of gas and 400 million barrels of condensate in place, equivalent to around a recoverable volume of 800 million barrels of oil equivalent. It is an industry-large discovery year to date. Well productivity, confirmed by the DST, is excellent. After completing the Neptune purchase, Eni will have an 88% participation. Development of a field of this scale will require some new infrastructure, including a floating production unit, but this can now be optimized as a new app development and include reserves for an additional 5 TCF on our recently acquired IDD acreage. Furthermore, the proximity to infrastructure the existing Bontang LNG plant which has available capacity makes development highly efficient and provides higher value for the gas. Last but not least, it is also worth noting the discovery, the risk, further, multi-TCF exploration potential in the area. So, by virtue of scale, participation level, efficiency of development, access to market and cycle time, Geng is a very meaningful addition to Eni future upstream project pipeline. And now turning to energy evolution. A stronger SERM refining margin and higher refining availability, as we anticipated on our second quarter call, have combined for a good quarter from traditional refining with EBIT of 328 million up versus a loss at Q2, down somewhat year-on-year on scenario effect not fully reflected in the SERM. Similarly, the strengthening scenario plus better utilization at Venice and Gela and the seasonally normal improvement in marketing have driven a solid 270 million EBIT results from any live. We were also pleased to have booked our first contribution of positive net income from our biorefinery joint venture with PBF at the Chalmette Refinery in Louisiana, well in advance of our original plan. And as a reminder, income from investment in the downstream is primarily our stake in the ADNOC Refinery. Versalis continue to be impacted by weak demand, high energy cost and intense competition in the chemical sector. This emphasises the importance of the recently completed Novamont acquisition with our intention to shift towards specialised and sustainable chemistry activities. It is now important to say that Plenitude even as energy markets continue to be so challenging, is meeting or even exceeding all its operational and financial targets, confirming the strength of a unique and integrated business model. EBIT for Plenitude for the quarter was 180 million, equivalent to 280 million of EBITDA. Along with power, EBIT of 219 million was 23% up year-on-year, despite the significant results from open market power sales in 2022. With a strong contribution from retail and a significant increase in renewable power sold, we now expect Plenitude 2023 EBITDA to be 30% higher than the original guidance. Start-up offshore wind generation at Dogger Bank and Photovoltaic in Kazakhstan emphasised the operational momentum while the deal agreed by GreenIT Plenitude joint venture with CDP to develop four new photovoltaic projects in Italy adds to medium-term progress also. This distinctive growth profile will continue to be a feature of Plenitude as we double 2023 EBITDA by 2026, reaching 7 GW of renewable capacity as well as increasing customers to over 11 million and charging points to over 30,000 by the same date. That leads me to update guidance for 2023. We have narrowed the full year guidance for oil and gas production to between 1.64 to 1.66 million barrels of oil equivalent, which at the midpoint implies 2.4% growth year-on-year and a four-quarter exit rate of close to 5% growth year-on-year. We can confirm our GGP guidance in the range of EUR2.73 billion. We are raising pro forma adjusted downstream EBIT to 1 billion from 0.8 billion, reflecting the stronger third quarter and a better outlook for the last quarter in both traditional biorefining. This is part of set by continued challenging condition faced by Versalis. Within downstream Enilive pro forma EBITDA is raised to EUR1 billion from guidance of more than 0.9 previously. As we have highlighted, we are also raising our full year guidance for Plenitude EBITDA to around 0.9 billion. With this change, we now expect replacement cost CFFO to be around EUR16.5 billion up from EUR15.5, EUR16 previously and EBIT to be around EUR14 billion, 2 billion higher than our mid-year view. We are on track to deliver all our original target despite weaker scenario, conditions and planned with business outperformance across Eni delivering around 2.6 billion of additional underlying EBIT. Our planned buyback remains at 2.2. And while we continue to spread to complete by April 2024, we are also accelerating its pace in the final month of 2023. With our dividend EUR0.94 per share for 2023, our distribution is equivalent to 33% of expected cash flow from operation. We expect CapEx about 9 billion over 5% lower than our initial plan with a price with a precise figure determined by timing around the project activity. This all means we continue to expect leverage in the 10%, 20% range. In conclusion, we continue to deliver excellent operating and financial results and strategic progress. We can reinvest in the business for future value and maintain a resilient financial position in volatile times. Meanwhile, we are also transforming, building on our strengths and developing new line of business as opportunity presents themselves. This concludes my prepared remarks and together with Eni top management, I am ready to answer your questions.
Operator: [Operator Instructions] The first question comes from Giacomo Romeo of Jefferies.
Giacomo Romeo: Yes, good afternoon. Thank you for giving me this opportunity. First question is around your shares buyback program. Francesco, you hinted the fact that you are accelerating in Q4 the pace of the buyback. At current pace, it indicates that you should reach around 2 billion by the end of the year. I just wanted to check whether when you think that the 2. 2 billion will be completed, is it going to be Q4 results in February? And also, how should we think about how you will use the flexibility given by the 3.5 billion mandate from the AGM in order to bridge the period when you finish the 2.2 and the next AGM in May. The second question is on GGP. You left EBIT guidance and change. Year-to-date, you're basically 100 million from the lower end of this. Just trying to understand where the cautious outlook is coming from here. Is it related to the increased tensions in the Middle East? Is there any sort of you have any visibility on potential negative impacts from contract negotiations next year, in the next quarter. Just if you can share some color that would be helpful. Thank you.
Francesco Gattei: Thank you. I will reply to the share buyback while I will leave the floor to Cristian Signoretto for the GGP guidance. About the share buyback, first of all, you know that we have, as you mentioned, currently the 2.2 as a target and the flexibility up to 3.5 subject clearly to the improvement towards our cash flow from operation expectation. So that flexibility will be, let's say, optional in case we will see an improvement above the 17 billion threshold that under the current assumption we are not, let's say, yet achieved. In the quarter, you mentioned that it will close according to your estimate around the 2 billion. I think that under the current estimate so far the past pace of 60 million per week of buying back. This is a bit higher. So I will say that clearly you will see in the coming weeks from the report that we published substantially at the beginning of each, the increase of the pace. The expectation is to accelerate the buyback. It means that instead of concluding that within April, we will think to have an acceleration. I do not disclose what will be, but you will see the figure in the acquisition in the time that we will publish every week. Then now I leave to Cristian for more call on.
Cristian Signoretto: Yeah, so thank you. So the third quarter results were in line with the expectations as gathered in the last conference call. And you know the mild market actually guided us to that kind of guidance. When it comes to the fourth quarter and the range in the fourth quarter that we left unchanged. This is actually a result of the scenario uncertainties in terms of volatility, spreads, supply availability as well as expected outcome of an ongoing arbitration, which is going to be ruled in the next quarter.
Giacomo Romeo: Thank you.
Operator: The next question is from Biraj Borkhataria of RBC.
Biraj Borkhataria: Hi. Thanks for taking my questions. The first one was on exploration. Very helpful slide that you put in today obviously this is probably the way Eni has created the most value over the last decade and clearly a strength of the company. So I was wondering how you're thinking about your exploration budget going forward and into the next couple of years. You see your US peers buying upstream resource in quite a big way and clearly these on oil and gas demand are evolving. Do you think your exploration budget is appropriate as it currently stands or should you be doing more? And the second question is on Egypt. You have a big position there. I just wanted to get some thoughts from the ground because energy exports there have been minimal, which is kind of normal for the summer, but also we're not seeing much in terms of exports for October either. So I was wondering if you'd comment on, you know, production levels of projects like Azure and the broader situation there. And then finally, just a quick one on the Indonesia discoveries. Is it fair to assume the target will be for these to feed the Bontang and for LNG and then assuming there's capacity there for more exports, right? Thank you.
Francesco Gattei: Thank you, Biraj. First of all, about exploration, just to have you seen the past that we continue to perform. We perform through a budget that were maintained probably let's say in a steady way not to standing in industry are substantially reduced to this kind of activity because we also selected the capacity the opportunity near field and we were able also clearly to take advantage of our internal skills and the capability to process to our supercomputer seismic imaging and therefore to the risk of this activity. I will leave it to Guido the answer about additional color on the exploration clearly Indonesia plan of valorization and the Egypt Zohr production.
Guido Brusco: Yeah on exploration we may say that we have a very balanced and disciplined budget as you know we basically allocate money on ILX and near field opportunities and but also a minor component to the high impact well. And this was the strategy of the last seven years which proved to be very solid and which we delivered upon. About Geng, Geng is clearly, it shows the successful of our distinctive strategy focusing on gas, focusing on nearby infrastructure availability, reinforcing our equity position in a very strategic area and also supporting our dual exploration model and fast track development. So Geng, it includes all these features. As you may have appreciated in the slide, we have quite a significant amount of resources discovered, but also a significant exploration upside, which would allow us on one hand to extend and expand the plateau of the current floating production unit in the southern area, but will also allow to build a new hub in the North area where we have a significant upside potential on the exploration which could extend significantly the plateau. In front of us there is an LNG plant, Bontang, with a capacity of 22 million tonnes per year, which is, I would say, almost empty. At the moment, the capacity utilised is 5.6 million tonnes per year, so we will be plenty of capacity to accommodate the plateau production coming from Geng Discovery and the stranded assets which we bought from IDD both in the north and in the southern area. I would also underline that this discovery is very liquid rich and this helps also a lot to enhance the value of the asset. As far as Zohr, Zohr is producing from 2.1 to 2.2 BCF per day. Now we are and it's in line with our plans, we are now running a number of projects and activities, drilling activities in filling specifically, but also other plateau extension activity to enhance the capacity of the facility to handle the current level of production of Zohr.
Biraj Borkhataria: Just one quick follow up on Egypt. Are you having any issues on the currency side given the devaluation and so on in terms of getting money in and out?
Guido Brusco: We are not having issues with the currency because our contracts are in dollars so we don't have any impact on the devaluation of the currency. Okay. Thank you.
Biraj Borkhataria:
Operator: The next question is from Oswald Clint of Bernstein.
Oswald Clint: Yes, good afternoon. Thank you. I'd like to go back to Indonesia just to get a little bit more detail. It's clearly a massive discovery. I was curious when you'll go after this multi-TCF upside. Can you get this into a 2024 exploration drilling plan where we can look at that? Is there any chance of any of the missing acreage blocks on your map that seem to extend away from this current discovery? Is there any license rounds coming up that you might participate in and would you run this at 88% equity or I think Francesco talked about valorizing it at some point, is that a couple of years down the line? That's the first question. Secondly, as we think about new developments in places like Indonesia, your friend Mr. Puliti at Oil and Money this year was saying he had to say no to a new FPSO job for a top client, talking about lack of people, lack of supply chain pressure. So I don't know if that was you, but it feeds into the view the supply chain is tightening up rather quickly. So I wanted to ask about the pressures you're experiencing and ultimately just how robust that 3% to 4% volume growth is in the four-year plan. Thank you.
Francesco Gattei: Okay, about the dual expression model you know that this is something that you apply generally speaking in the various discoveries. Clearly this will depend on the opportunities, on the progress in terms of development. It is a model that is, let's say, flexible, clearly by having an exposure of 80% after the acquisition net is an additional opportunity to extract and fast-track value. I leave then to Guido and then Aldo Napolitano that is the head of exploration, the answer related to the development of the cost and the exploration upside.
Guido Brusco: Now, clearly, the pick-up of the activity, both traditional and green, is putting pressure on contractors, both in terms of capacity and ability to deliver activity, but also in terms of cost inflation. We know that from 2021 to 2022 there was an increase of 10% of cost overall, 7% from 2022 to 2023 and we expect 4% year-on-year in the following year. So this clearly is factored in our CapEx estimation. The quality of Geng asset is such that we expect a very competitive unit cost per development. In terms of further exploration, I would, in the surrounding area, I would leave the floor to Aldo to give more color.
Aldo Napolitano: Yes, thank you, Guido. Yes, we are defining the plans for next year and future years in terms of further drilling in the area of the Kutei Basin. Maybe you have noticed that we have already actually pursued a strategy in the acquisition of acreage in the area. So we have recently, just a few months ago, actually had the award of another block in the area, so the Peri Mahakam. And as already explained, we have increased our shares in all other blocks where we believe there's a good potential. So we have not yet defined in details our plans for future drilling but certainly this will be a focus area.
Guido Brusco: You had also a question, sorry, on the confidence of the plant growth for production of 3% to 4%. This clearly we have a strong pipeline of projects namely Baleine in Ivory Coast, Congo LNG, A&E structure in Libya and last but not least this Geng plus Mozambique and other significant projects from other affiliates and our satellites in Angola, a new gas project and a global development and from Var, Johan Castberg and Balder X. So with this pipeline of project which has been most of them already sanctioned in the plan and in execution, we are very confident to deliver this plan growth.
Oswald Clint: Very clear. Thank you.
Operator: The next question comes from Alessandro Pozzi of Mediobanca.
Alessandro Pozzi: Hi. Good afternoon. Thank you for taking my questions. The first one is on SSE, a carbon capture asset. I believe recently you announced a new agreement with the UK with regards to high net and you secured basically and the first as a base regulated model. I was wondering if you can give us a bit more color on the economics and what are the pros versus more traditional model. The second question is on GGP. I believe you contracted a fairly large amount of new volumes on the LNG. You have a target of 18 million tons per annum by 2016. And I believe that you are basically pretty much there with the new volumes. I was wondering whether you could see upside basically to the long-term guidance there. And the final one, if I may, on North Geng, you talked about a lot of potential upside in terms of discoveries. I was wondering, will you be in a position to finalize the size of the next, the second floating production unit and whether potentially that has the capacity of doubling the current production in the country? Thank you.
Francesco Gattei: Thank you, Alessandro. Two questions are for Guido and the last one the GGP is related is to Cristian.
Guido Brusco: Yeah you're absolutely right we have agreed with the UK authorities the main economic model terms and however the final stage to assign the definitive economic license is still ongoing and we are planning to complete this process by the second quarter of 2024 in order to have a cluster FID which includes also the emitter by the quarter three of 2024. The pricing is clearly and the economic model is based on a regulated asset base model which is still as I said under finalization with the regulator. And it will include also some mitigation mechanism to reduce the risk related to this first of a kind project.
Alessandro Pozzi: So basically is a return on the CapEx that you spend on the project?
Guido Brusco: Yeah, basically, this is the mechanism, the model.
Alessandro Pozzi: Okay.
Guido Brusco: Sorry, on the cost.
Francesco Gattei: On the overall cost, including also the operating cost.
Guido Brusco: Yeah.
Alessandro Pozzi: Thank you.
Cristian Signoretto: Yeah, so on the LNG portfolio, let's say on the LNG supply contracted portfolio, as you said, we have advanced substantially with these last three agreements that we've signed. We are now around 13 million tonnes of contracted capacity. We want to achieve the 18 million tonnes by 2026. And sure, I mean, I think the big evolution on the Geng North discovery, this will give us some upsides on the target that clearly we are going to take into consideration when we draw the next plan.
Guido Brusco: As far as the size of the potential North Hub, of course, is still premature to say, but for the size of the current discovery and the asset and the knowledge we do have of the asset. We are planning something which is between 800 million standard cubic feet per day to 1 BCF per day with also a significant liquid production between 50,000 to 60,000 barrels per day. This is for the knowledge, information and data we do have today. Of course we are still assessing the discovery.
Alessandro Pozzi: Okay. So 50,000 to 60,000 barrels of liquids and plus on top the dry gas.
Guido Brusco: The dry gas.
Alessandro Pozzi: Okay, so it's doubling basically, more than doubling the production from Indonesia at the moment?
Guido Brusco: More than doubling our production from Indonesia. As you know, the southern area hub asset, Jangkrik, has a capacity, is producing 700 million standard cubic feet per day currently. And with the other asset discovered, which we will tie in as soon as the other asset would decline we will maintain for longer this plateau. Yes, so we are almost more than doubling the production.
Alessandro Pozzi: Very interesting, Thank you. And I guess FID probably sometime next year?
Guido Brusco: Yeah, this is the plan, of course. Many moving parts, stakeholder engagement, final assessment, appraising of the discovery, but this is the target.
Alessandro Pozzi: All right. Thank you very much.
Operator: The next question comes from Irene Himona of Societe Generale.
Irene Himona: Thank you very much. My first question also on Indonesia, please, and congratulations on this substantial find. If you could perhaps give us a sense with the knowledge that you have now, a sense of timing for this start-up, and then is there enough uncommitted CapEx in the four-year plan to develop it with unchanged CapEx? That's the first question. The second one on Venezuela. What does it mean for Eni exactly that the US have lifted sanctions at least for a few months? Thank you.
Francesco Gattei: In terms of CapEx, clearly we are working on the four-year plan with all the changes that we are discussing, the sanctioning, the evolution of the portfolio, the new discovery that is clearly has an high rating or ranking in our plan because of the clear advantage of these volumes in terms of value, in terms of cost. So I think that you shouldn't expect major increases. There is flexibility, as you mentioned. The commitments generally are clearly more focused on the first year than there are a declining firm commitment in CapEx along the plan so there is space room for accommodating new initiatives. On Venezuela, Venezuela clearly is now an opportunity. Clearly we are still evaluating which are the options in terms of creating an additional stream for recovering our exposure. So far this year we can say we are relatively satisfied with the capability to keep our exposure under control. Obviously the opportunity of having more volumes and higher production from the country should help to increase also the number of lifting. I don't know if Guido would add something more on the Indonesia start-up and Venezuela activity.
Guido Brusco: No, no. Indonesia, I think I've said which is the target for the FID. Of course our approach on CapEx is to be disciplined and we constantly rank our project when there are assets which are more attractive than others, we reshuffle and we continue to reshuffle our activity plan.
Irene Himona: Thank you very much.
Operator: The next question comes from Michele Della Vigna of Goldman Sachs.
Michele Della Vigna: Thank you and congratulations on the strong results. I have two questions. The first one comes back to Egypt. I was wondering if you could quantify the impact of potentially not getting any more supplies from Israel if the current interruptions continue and how that affects your GGP guidance. And secondly, going back to your balance sheet, especially in an age of higher interest rates, I was wondering if you could clarify a little bit some of the moving parts between variable and fixed debt and how much benefit you can actually get from the abundant cash that you have in the balance sheet? Thank you.
Francesco Gattei: I leave to Cristian the first answer and then I will give the second one.
Cristian Signoretto: Yeah sure so the current shut off of the Tamar field clearly has an impact on the balance of the overall region because, as you know, I'm in Egypt, and it's still importing gas from Israel, and this has reduced the amount of gas available for export. On the other extent, though, now consumption in the country is decreasing substantially due to the normal seasonal effect. So I think I mean we will see export resuming once this effect will be notable. When it comes to the impact on GGP, the range that we gave for the guidance actually includes already the uncertainty on the supply from Egypt. So I would say the guidance is resilient to that impact.
Francesco Gattei: About debt I think that we are in a very favorable position as 80% of our debt is fixed rate and clearly we benefit from instead from the increase of rates and returns related to our larger liquidity. Just to give you a figure that I think is quite interesting, Last year the net cost of our debt, so including the financial cost and the cash or the benefit from our financial asset was 2.3%. This year is 0.8%. So the increase of the interest rate is benefiting more proportionally our balance sheet and therefore we are exposed to this trend clearly that will reduce at the end our overall net cost.
Michele Della Vigna: Thank you.
Operator: The next question is from Henri Patricot of UBS.
Henri Patricot: Yes, everyone. Thank you for the presentation. I have two questions, please. The first one on the guidance for 2023 for EBIT raised to EUR14 billion for the year. I mean, If I look at the implied EBIT for the fourth quarter, it looks pretty close to the EBIT you generated in the third quarter, despite what seems to be more positive macro assumptions for the rest of this year. So I was wondering whether there are other factors that would be negative for EBIT and offset this better macro environment in the fourth quarter. And secondly, I want to come back to Enilive and the performance. So consider the guidance going up for the year. Looking just on the third quarter year-on-year there's a bit of a decline here. So I was hoping you could expand on the moving part that you see in this business whether you're seeing the performance on the both sides whether there is more pressure on the marketing business. Interesting any details here? Thank you.
Francesco Gattei: I have missed the second question. On the first one, you have to consider that our business are not let's say are subject to seasonal fluctuations, so therefore you cannot extrapolate a linearity between the various segments. So there could be clearly more linear performance in the upstream, but GGP, retail, marketing are all clearly following the different seasons. The difference or the main let's say variable part between the third and fourth quarter is that you have a lower contribution from the refining and from the marketing, downstream marketing. There is clearly, as we mentioned, a relatively mild change in the GGP. All the rest are relatively steady. In terms of the market of biofuel, I leave the question the floor to Stefano Ballista.
Stefano Ballista: Yes, the third quarter results for Enilive have been robust. We got to EUR271 million. There is a reduction compared to last year third quarter. It's related to the marketing business. And the reason is twofold. Last year we experienced one of the highest historical margin on retail. This year, year-on-year, we are experiencing on marketing retail a competitive pressure that actually rose together with the rising of the oil prices. On the other side, we got extra result on wholesale activities, wholesale business, still on marketing. And this is thanks to a new strategy focused on overall optimal trade-off between volume and margin. This is started beginning of the year. And if we look at the global figures of the first nine months we are getting to a plus 9% compared to the nine months of last year. We are landing at EUR611 million of EBIT. This is due for this wholesale strategy and also given the optimal performance on bio business. Given these figures, we see an EBITDA guideline increase to around 1 billion at the end of the year.
Henri Patricot: Helpful. Thank you.
Operator: The next question is from Henry Tarr of Berenberg.
Henry Tarr: Hi, guys, and thanks for taking my questions. Two, if I can. One, I think you mentioned an arbitration in GGP potentially coming in Q4. Could you give any color on the potential materiality or what that relates to? That would be helpful. And then just secondly on Versalis. Clearly the Novamont acquisition sort of gives an indication as to the aim for that unit. Is there anything else that can be done sort of on a medium term view to improve profitability there and how do you see sort of margins moving as we look into Q4 and 2024? Thank you.
Francesco Gattei: So two questions, the first for Cristian, the second for Adriano Alfani that is the head of Versalis.
Cristian Signoretto: So look, the arbitration that I was referring to is litigation around long-term contract that has been ended already. So it's actually past legacy. And the possible outcomes are well within the range of the guidance that we gave you. So the guidance, as I said, is resilient to that outcome.
Henry Tarr: Okay, thanks.
Adriano Alfani: About Versalis and the Novamont acquisition. Clearly, Novamont acquisition was a major step into bio or green chemistry that in the whole portfolio Versalis was pretty small. Clearly, now the main effort is to integrate this portfolio and to generate a complementary approach in terms of channel to market and so to complement portfolio product, but also portfolio in term of market participation. And so to enhance and get the most of the synergy we can get. So we expect it to significantly grow the Novamont portfolio, but at the same time, the portfolio of Versalis. As we said last time, we expect that in the next few years, we should shift around 15% of our portfolio to specialize in green chemistry, including, of course, within green chemistry circularity. The situation in term of chemistry industry is pretty challenging. We don't expect significant improvement in Q4 also because Q4 is a low season for some market like construction, especially for the winter, although the winter is pretty mild, but we don't expect any significant improvement in Q4 from a profitability point, so pretty much in line with Q3.
Henry Tarr: Okay, thanks.
Operator: The next question comes from Massimo Bonisoli of Equita.
Massimo Bonisoli: Good afternoon. Two questions. The first on Plenitude. How many clients do you expect to gain from the forthcoming liberalization process in the Italian regulated market and what would be the margin gap for the new clients compared to your current average client? Second question on LNG. Following the long-term supply agreements with Qatar and Indonesia. Now do you plan to secure some of the volumes with the end customers for the gas uptake or would you like to keep those volumes for the spot market? Thank you.
Francesco Gattei: Stefano Goberti for the Plenitude question and again Cristian Signoretto for the LNG.
Stefano Goberti: Massimo, thank you for your question. First of all, we are following closely the process of the liberalization because we still had a lot of rumor around, but no clear picture yet set. We will participate in the bidding. It's still early time to see whether our bidding will be very much successful or not. Of course, we will play our game there. And in terms of margin squeeze, let's see what's the rule of the game will be set at the end with the regulation in place. And then we will decide how to participate in what to do exactly.
Cristian Signoretto: So on the LNG portfolio, as you can imagine, we have a strategy of allocating our supply portfolio to different line of business. So clearly spot and keep the portfolio exposed to the spot market is part of the strategy. But also, I would say, part of the strategy, especially for the portfolio, which is more East of Suez. So clearly, Indonesia would be part of that is also to secure an outlet for the long-term. And this is, I think, a good moment also to be in the market given the appetite for long-term LNG contracting in the east part of the world. And so we are currently actively marketing our portfolio in that part of the world.
Operator: The final question is from Alejandro Vigil of Santander.
Alejandro Vigil: Thank you for taking my questions. I have two questions about Plenitude. One is about the performance of the retail business in the third quarter has been very strong, it can be extrapolated for the next quarters, this performance? And the second question is if you can give us any color about the process of looking for new partners in this -- for this business? Thank you.
Francesco Gattei: About the process, the process of sales, then I will leave it to Stefano for the question on the performance of the third quarter. The process of sale is continuing. The discussion are continuing a lot of details, a lot of let's say negotiation and paper work to be completed, but I confirm that we are proceeding. We don't see so far any major hurdles towards the conclusion. Then I leave to Stefano.
Stefano Goberti: Thank you, Alejandro, for the question. Of course the quarter was a very good quarter, EUR284 million the EBITDA that we recorded this quarter, mainly coming from our retail activity. We have been working on the overall international European platform on managing the exposure. We have been working a lot on also defending our activity in Italy with working on the client base and also offering the, what we call it, added value services. So of course, these results are not one-off are repeatable. That's why we also increased our guidance to year-end to EUR900 million of EBITDA.
Alejandro Vigil: Thank you very much.
Operator: That was the final question. Thank you for participating in the Eni conference.
Francesco Gattei: Thank you to all the attendees. And please if you have any additional questions, our Investor Relations team is available for providing the details. Thank you and good afternoon.